Operator: Good morning and welcome to the Park-Ohio Fourth Quarter and Full Year 2018 Results Conference Call. [Operator Instructions] Today's conference is also being recorded. If you have any objections, you may disconnect at this time. Before we get started, I want to remind everyone that certain statements made on today's call may be forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. A list of relevant risks and uncertainties may be found in the earnings press release, as well as in the company's 2017 10-K, which was filed on March 8, 2018 with the SEC. Additionally, the company may discuss as adjusted earnings and EBITDA as defined. As adjusted earnings and EBITDA as defined are not measures of performance under Generally Accepted Accounting Principles. For a reconciliation of net income to as adjusted earnings and for a reconciliation of net income attributable to Park-Ohio common shareholders to EBITDA as defined, please refer to the company's recent earnings release. I would now like turn the conference over to Mr. Matthew Crawford, Chairman and CEO. Please proceed, Mr. Crawford.
Matthew Crawford: Thank you very much and good morning. Welcome to our fourth quarter 2018 call. Joining me this morning is Ed Crawford, our President and Pat Fogarty, our Chief Financial Officer. The fourth quarter completed a record setting year for revenue, which was up 11% and EPS, which was up 33% at Park- Ohio. While we did see some deceleration from earlier in 2018, all three segments showed increased sales year-over-year during the fourth quarter. Of equal importance, we were able to finish the year, with very strong cash performance and reduced debt towards our goal to de-leverage our balance sheet after several years of aggressive reinvesting in the business. These achievements did not come easily. During the fourth quarter, we continued to battle obstacles related to raw material price increases, finding and retaining good team members and launch expenses and challenges related to our growth investments. New challenges also arose as well including a weakening of Chinese demand and some signs of softening in some discrete US end markets. Our team was able to offset these headwinds though, through a combination of the successful integration of several recent acquisitions, the early signs of contributions from our significant investments in people, technology and manufacturing capacities over the last couple of years, an unrelenting effort to reduce unnecessary expenses. Our team continues to rise to the occasion and respond with strong operating leverage in two of our three segments, supply technologies and engineered products for the quarter. Assembly components was a touch behind our internal expectations, but this is still a transitional time for this segment. And this transitional time will continue for most of 2019, but we firmly believe our recent investments in this segment will provide leadership to our next leg up in the success of Park-Ohio. Each of these achievements are notable. And I want to extend my gratitude to our entire team. We look to extend this momentum into 2019 and are anticipating another record setting year in sales and profits and our march towards 2 billion in revenue and 10% EBITDA margins by 2021. Specifically, we anticipate 2019 to be a year of more modest growth, which will give our team the opportunity to focus on cash generation and margins. Now, I’ll turn to Pat for the review of our fourth quarter and year to date results.
Pat Fogarty: Thanks, Matt. As Matt mentioned, we ended 2018 with strong results in the fourth quarter, delivered better than expected operating cash flows and continued to execute our plan to de-leverage the balance sheet. During the quarter, our net sales were 406 million, an increase of 11% year-over-year. Of this increase, organic growth was 3% and acquisition growth was 8%. Each of our three business segments contributed to our year-over-year sales growth during the quarter.  We continue to provide solid operating leverage and income flow through in many of our businesses, most notably in our supply technologies and engineered product segments. However, operating margins in our assembly components segment were impacted by continued startup costs and our new plant in Mexico and two new plants in China as well as higher operational costs. We believe that operating margins will improve in 2019 as these locations begin to increase production, which will enable the plants to better absorb the ongoing fixed manufacturing costs. Fourth quarter SG&A expenses, which totaled $44 million compared to 40 million in 2017 were consistent year-over-year at 10.9% of net sales. The increase in the dollar amount of SG&A expenses was due to SG&A associated with the 2018 acquisitions. Operating income was $23.2 million in the fourth quarter of 2018, an increase of 8% from 21.5 million last year, due primarily to higher sales and the favorable impact of the Canton Drop Forge acquisition. Our effective tax rate in the fourth quarter of 2018 was 12.1%. This rate reflects favorable tax adjustments and cash tax savings from US tax reform and included the effect of regulations issued during the fourth quarter. The fourth quarter impact of these favorable adjustments represented $0.21 per share. As a result, our full year effective tax rate was 23%. Our GAAP earnings per share in the fourth quarter was $1.19 compared to $0.46 last year. On an adjusted basis, our fourth quarter 2018 earnings per share was $1.20, up 40% from $0.86 in the prior year. Operating cash flows were strong during the fourth quarter and totaled 33 million, driven by strong profitability and improved working capital performance.  Also during the quarter, we reduced our bank obligations by $16 million and reduced our net debt leverage to 3.4 times. During 2018, we invested $45.1 million, primarily to support growth projects in our assembly components and engineered product segments, where we launched newly awarded programs in our aluminum business, finalized the build out of our new facilities in China and Mexico and installed our new forging line in our plan in Arkansas. Also, during 2018, we returned $15.4 million to our shareholders, including share repurchases of $9 million and dividends of $6.4 million. We ended the year with strong liquidity in excess of $250 million, including cash on hand of 56 million and 203 million of unused borrowing availability under our various global banking arrangements. Taking a look now at our full year results, net sales in 2018 were a record 1.7 billion, an increase of 17% compared to a year ago. This increase was driven by a combination of organic growth, which was 8% and acquisition growth, which was 9%. Gross margins, as a percentage of sales, were comparable year-over-year at 16.4% in 2018 compared to 16.5% in 2017. SG&A expenses increased year-over-year due to SG&A associated with the acquired businesses. However, as a percentage of sales, our SG&A expenses decreased to 10.6% compared to 10.8% in 2017. Interest expense was $34.3 million in 2018, compared to 31.5 million in 2017. The increase was driven by higher average debt balances in 2018, resulting from the cost of acquisitions made during the year. As I previously mentioned, our effective income tax in 2018 was 23% compared to 38% in 2017. The lower rate in 2018 was due to the favorable impact of US tax reform and the reversal of previously recorded tax valuation reserves. Excluding the reversal of the valuation reserves, our effective income tax rate in 2018 would have been 27%. Net income per share for 2018 was a record $4.28 per diluted share on both a GAAP and adjusted basis. These amounts compare to GAAP earnings at $2.30 and $3.23 on an adjusted basis in 2017, representing a 33% increase in adjusted earnings year-over-year. EBITDA as defined for the full year 2018 was 150.2 million, up 15% compared to 130.6 million for the full year 2017. Operating cash flows, which exceeded our 2018 estimates, totaled $55 million. Now, I’ll comment on our segment results for the full year 2018 compared to 2017. In supply technologies, sales were up $75 million in 2018 or 13% year-over-year with 7% attributable to organic growth and 6% from acquisitions. The organic sales growth was driven by higher customer demand in most of our key end markets, including the heavy duty truck and truck related markets, which were up 33% year-over-year and the aerospace market, which was up 37% year-over-year. Also in this segment, our fastener manufacturing business continues to perform well, increasing sales [indiscernible] and clinch products to new customers around the world. Operating income in this segment increased to 49 million from 43.3 million a year ago, an increase of 13%. Operating margins, as a percentage of sales, were 7.7% in both years, as the profit flow through from higher sales was offset by cost to launch new sales initiatives and changes in sales mix. Now, I'll turn to our assembly components segment. Sales were up 10% year-over-year, driven primarily by the late 2017 acquisition of a molded products business and higher sales volumes in our aluminum business. The improved sales in our aluminum business resulted from expected increases in volumes on new programs, including products used on high volume platforms, which is 10 speed transmissions, including the Ford F150 truck and the increasing demand for compact crossover SUVs, which use our suspension components. In 2018, our fuel related and rubber product revenues were down year-over-year due to anticipated end of life programs. We continue to develop and win new business within our fuel and extruded hose businesses, which will begin to positively impact our results in the second half of 2019 and in future years. Also, as we have discussed, our three new production facilities in Mexico and China, which produce fuel rails, fuel filter systems and exterior molded rubber products for the global auto market are now operational. Our current projections continue to show 150 million revenue run rate by the end of 2012 in these locations.  Segment operating income decreased year-over-year from 47.8 million in 2017 to 42.9 million in 2018. These decreases were due to the impact of startup and product launch costs in our new production facilities, unfavorable sales mix and excess operational costs in certain locations. We expect improvement in operating margins in this segment in 2019, as production levels ramp up in our facilities and various margin improvement initiatives are fully implemented. In early 2019, we initiated the closing of two locations in the US, reduced headcount at various locations and took other actions to improve profitability in this segment. In our engineered products segments, sales in 2018 were up 36%, compared to a year ago, driven by a combination of organic growth of 14% from the acquisition of Canton Drop Forge. The organic growth in this segment was driven primarily by increased global demand for our hardening and pipe threading equipment, primarily in our European locations in Belgium, Spain and Italy and in our forge the machine products business. The Canton Drop Forge acquisition has exceeded our expectations in both sales and profitability, driven by the increased demand in the aerospace market. The acquisition is also creating synergies that continue to benefit our other forging operations. Backlogs in our capital equipment and forging business continue to be strong, totaling $226 million at year end compared to 173 million a year ago, an increase of 31% year-over-year. Operating income in this segment was up significantly from $19.5 million in 2017 to 38.4 million. Our 2018 operating income margin of 8.7% was an increase of 270 basis points year-over-year. Finally, I would like to comment on our 2019 guidance. In general, we expect most of our key end markets to continue to be strong and consistent with volumes seen in 2018. We expect that our investment strategies as well as margin improvement initiatives will begin to favorably impact our results throughout 2019. We are forecasting GAAP EPS of $4.20 to $4.50 and adjusted EPS of $4.30 to $4.60. Our adjusted earnings guidance reflects an add-back of $0.10 for non-recurring planned closure costs previously mentioned. We also expect operating cash flows of 60 million to 70 million and CapEx to approximate 30 million. Our expected strong cash flows in 2019 will enable us to continue to reduce bank obligations of 30 million to 35 million. And finally, we expect our effective tax rate to be in the range of 26% to 28%. Now, I’ll turn the call back over to Matt.
Matthew Crawford: Great. Thank you very much, Pat for that very complete report. And now, we'd like to turn it over for any questions we might have from you all.
Operator: [Operator Instructions] Our first question comes from the line of Edward Marshall with Sidoti & Company.
Edward Marshall: So investment comes down in 2019, as you indicated. I'm curious of the investment that the [Technical Difficulty] million dollar specifically that you talked about that by the end of 2020, I'm curious what's the estimate or what's built into your estimate for 2019 as it relates to that business? How did it perform in 2018? What do you see in 2019, just so I can kind of see the walk between now and 2020?
Matthew Crawford: Yeah. Let me -- let me -- I'll begin to comment on it. Pat can clean it up. I think, I use the word transitional in my opening comments. Assembly components, which is principally an auto related business, although not entirely, is transitioning, I think, from a strategic perspective, both in terms of footprint and both in terms of products. We are highly focused on taking advantage of this transition along the electrification product line, or excuse me, emphasis by the OEs. So, we are looking at expanding our extruded products into new and different product areas other than fuel and traditional products.  We're doing that successfully currently and we're doing that throughout the world, particularly where we've built a new plant in China. We continue, of course, to focus on light weighting activities, fastening activities. And so I think that there's a lot of moving parts there. So when we talk about the $150 million of investment, that's a gross number. So, I will articulate that the transition will have some losses. And I know in the third quarter, we talked about some business that had moved on.  So the answer to your question is, on a net basis, the transition will continue to be painful through the first half of this year, it was painful in the fourth quarter, it would painful in the first half. And then I think you're going to begin to see, on a net basis, the business to be able to improve rapidly, not only I think at the revenue line, but more importantly at the margin line. So I expect it to be of important impact, particularly towards the back end of the year, but on a net basis, we expect the story to be more of a 2020 story than a 2019 story.
Pat Fogarty: Yeah. Ed, I would only add that our business, and our new plant in Mexico is performing at expectations and will continue to grow in 2019 and beyond. The headwinds that we see in China, we hope, are temporary in the first half of the year and will begin to see volumes grow to expected volumes by the end of the year, not to overlook our aluminum business that has expanded significantly over the last year. And we continue to win new business, not only in our permanent mold and low pressure areas, but also in a different process called [indiscernible], which is very exciting for us and we'll continue to see the benefits of the investments that we've made in that process.
Edward Marshall: As you talk about the transitional business into 2019, you mentioned that it will give you an opportunity to really focus on the margin of the business. And I'm curious what are the biggest opportunities on the margin, maybe some of the areas within the business that you're kind of focusing on to improve.
Matthew Crawford: Yeah. I think it's going to be, I articulated at a conference last week, the opportunity that exists in somewhat -- in some of the chaos, although that's a bit of an aggressive word that exists, I think in the marketplace right now for the redesign and relaunch of new power trains and the redesign or relaunch of new model cars, I mean, that's a tremendous opportunity. I think we've talked at length over the last year how we begun to see some of the improve business performance at general aluminum, because of the launch of the 9 and 10 speed transmission, which is a fuel efficiency play as well.  And as that has come online and reached even a portion of their peak volumes, you can see how that business we've talked about, how that business has started to really perform in a much better level. That took some time, but the punch line is, is launching of these new power train and new car designs is going to enhance our business. Other areas I would highlight that are currently happening, once again are on the rubber extrusion side and also on the rubber molding side.  There's a lot of redesigning going on in the electrification space for what some of these wire harnesses are going to look like. There's a lot more -- the OEs anticipate a lot more electrical wiring in these cars and that impacts the wire housings and so forth. We anticipate opportunities in some of these new cooling products that are required for battery cool and otherwise for the increased electrification.  So, I would highlight the rubber and plastics division, the rubber products and plastics product division, which is molding and extrusion, but in no way would I suggest that some of the light weighting aspects, both at RB&W, our fastening division, which continues to set records every year as well as our aluminum products business as well. So those are some of the areas that the painful refreshing of the product lines will allow us, I think, to improve margins.
Edward Marshall: And I just want to be clear on something, when you talk about the new opportunities, it sounds like you're referring to mix, but my sense is, there's, you mentioned also earlier the launch challenges. So some of these products are being launched this year, in -- or last year in 2018 and so there's probably a margin drag. Are you talking both about the maybe the learning curve improvements as well as maybe some of the mix improvements because of the higher margin product lines?
Matthew Crawford: All the above, all the above, and I see this and I'm smiling when I say this, you can't see me, but I promise I am. The dollars we’re spending today, which are more than we expected to transition to this place are not just and we talk a lot about plant facilities because those launch costs are so easy to put your finger on, but we're expensing R&D right now as well. We're expensing manpower, particularly in this business, but across the board and some of the other initiatives in supply technologies as well, but the point is, is no, these are -- the drag we're seeing, which is very difficult quarter to quarter to put our thumb on, million dollars here, million dollars there from an EPS perspective is money that we recognize, if you look at the business in a three year window and get away from the quarters, it’s hard to do.  These are the best dollars we can possibly spend. We're going to be very proud of these dollars and these are the next leg up, but I just -- I can't tell you whether it's how and when it's going to kick in. A lot of that depends on the OEs, when they launch their own products, some of these models are getting deferred, three months, six months for launches. So, this is going to be a little tricky quarter-to-quarter, but I promise you in three years, this is going to be the most exciting part of our business I believe.
Edward Marshall: Excellent. And then embedded in the 2019 guidance, currency and tax, what are your assumptions?
Pat Fogarty: Yeah, generally, Ed, currency won't have a big impact on our business. We expect our effective tax rate to be, as I mentioned, 26% to 28% and the adjustments that benefited 2018 will continue to have a very positive impact in 2019 and these are, as I mentioned, real cash savings that were generated as a result of some regulations that came through in the fourth quarter.
Matthew Crawford: I think, Ed, I think Pat mentioned, I think Pat mentioned we picked up $0.20 or $0.21 to where we had thought we'd be at prior quarter forecasts on tax rate. That's great. A chunk of that will continue to stay with us going forward. I know we forecast midpoint in 2019 of 27%. Right. So a chunk of that will stay, but we're probably a little bit lower than we thought and got a little extra benefit there in the fourth quarter.
Operator: Our next question comes from the line of Steve Barger with KeyBanc Capital Markets.
Ken Newman: This is Ken Newman on for Steve. I just wanted to clarify, Matt, on the guidance that you gave this morning. When you say expectations for moderate growth in 2019, should I think that’s to mean you're talking low to mid single digit total sales growth for the year. And I'm also curious if that is purely an organic revenue outlook or does that also include some of the recent acquisitions you've made?
Matthew Crawford: Yeah, that's a good question. Well, a couple of comments. First is we really haven't made a material acquisition in quite a while. We did make several deals last year, but really Canton was the only material one to our top line, and we got 11 months of that. So I don't know that, to your last point going backwards, that there's meaningful acquisition revenue embedded in our forecast, because we sort of have captured most of that in our ‘18 numbers. So that was my first comment. The second comment is, I think you've articulated our position correctly. I don't think we fall far from what you're seeing out there in a lot of the industrials, sort of low to mid single digit revenue growth. We, once again, I think as we get towards the back half of the year, we're encouraged by our mix and the increasing contribution from some of these investments, but that's going to continue to do as I mentioned earlier in sort of transition. Lastly, our strategic focus, I think is on margin improvement, investing in our -- completing these investments and launching these investments that we've discussed and generating cash. I don't have to tell you that our D&A to look for deals, so we're certainly still poking around. Valuations continue to be challenging for us. So if one comes, we’ll do it, but I don't anticipate as I sit here today, this to be a year highlighted by major acquisitions.
Ken Newman: And I guess as a follow on to that, as I think about free cash flow, obviously, you're guiding towards a better conversion rate in 2019 as a percentage of net income versus last year, just given all the investment that you've made. Would you expect normalized free cash flow conversion to be kind of within that cycle average of around 50% or better going forward? I'm trying to get a better understanding of where the investment cycle is going forward. Is it still a bit elevated versus historical numbers that we've seen?
Pat Fogarty: Ken, I'll address that. Typically, 50% is a fair percentage. The operating cash flow over a cycle tends to lean towards that. We expect to control our CapEx spending this year. We've had the last two years of significant spending. In general, our maintenance capital is probably around $15 million annually. So I think utilizing your percentage is fair.
Ken Newman: Understood. And then, I just wanted to switch over to the Chinese exposure for a minute. Obviously, you are in the process of putting up some of those facilities, it sounds like they're up and running now. Just curious, have you seen a material slowdown in that demand for that region? And how much more do you need to spend in that region or is that investment cycle done?
Matthew Crawford: The investment cycle is not complete, albeit, plants are open. And one of the plants we've discussed has been in production for a while for a series of months. The other facility is sort of beginning stages of producing product. So those I think, still will, particularly towards the end of 2019, begin to have a more meaningful impact. So I would still call them both sort of in the infancy, relative to contributing revenue. In terms of China, there's no question China slowed down meaningfully in the fourth quarter. I think that the decrease in economic activity, particularly on the auto side, combined with inventory builds made for the fourth quarter to be a particularly challenging period. So, but I think we continue to see that softness. I think having said that, one might conclude that we were premature or aggressive with these investments. And the answer is no, we weren't. And the reason is, I mean, unfortunate that we saw the demand shrink significantly in the fourth quarter. But the reality of it is what we're watching is the market there transition. First of all, when it relates to emissions related products or hybrid related products, or fuel efficiency, regulation is more and more important. Now, it's not the most compliant environment there, so it takes longer than you think. Everyone has this sense that government says something, everyone does it. That's not entirely true. The reality, the circumstances is, but that process is taking hold. Those that are local supply base will benefit from those. And more importantly, our order book today is filling up with names -- with Chinese names.  The future of the business there, I think that the joint ventures for Ford and GM and Volkswagen will continue to have important market share numbers. But the opportunity to sell in the marketplace to the growing Chinese national players requires not only local manufacturing capacity, but local teams. So we will benefit from that fundamental shift in a meaningful way going forward.
Ken Newman: And then last one for me, just back to the free cash flow. And in terms of capital deployment, you talked a little bit about still poking around for deals within the pipeline. How do we think about capital deployment, given that the free cash flow is getting better, the CapEx is taking a step down. You did repurchase some more shares in the fourth quarter, where do you see the priorities? Is it really debt paydown? I mean, you're only at three, little over 3.5 times net levered I think.
Matthew Crawford: We’ve mentioned on a couple of calls that we'd like to see a net leverage ratio of under three times. We think that's sort of an optimal spot for us right now. We do, as you mentioned, have a lot of liquidity. So that's not a mandate. But I think that we feel as though, particularly the stock performed very well. And when it was closer to three times, arguably, we're later in the cycle, we do some of our best investing on the acquisition side in a recession. So at a high level, we are prioritizing de-leveraging to that level with a little more importance than in the past. Having said that, I think, as well enough to know we're not going to miss an opportunity to acquire something in a strategic and frugal way.
Operator: Our final question comes from the line of Marco Rodriguez with Stonegate Capital Markets.
Marco Rodriguez: I was wondering if you could spend a little bit of time on the plant closures. I’m pretty sure I thought I heard that they were in the assembly components side. I'm not sure if I missed it, but what sort of dollar savings are you guys expecting from those plant closures?
Matthew Crawford: Marco, I’m going to let Pat answer that because he takes all the tough questions, but I am going to say, people, sometimes in a good year like 2018, when revenue is a robust as it was, people have this sense that the entire business is doing well and the reality of it is Park-Ohio is always aggressive on the cost side, and always looking for opportunities to improve the business on the cost side. So I think that it should not be a surprise to anyone that we are constantly restructuring parts of the business. This gets called out, because I think it's reasonably significant. But I would just start by telling you, we're always restructuring something, it keeps us sharp for a downturn. So, but with that, I'll let Pat mention those two specifically.
Pat Fogarty: Okay. One of the closures related to the 2017 acquisition and part of that strategic plan when we acquired the business was to move out of the location in the Midwest into our Cleveland based operation. So that was in the plan and as Matt mentioned, the other was part of the planning, as we tend to -- as we move to increase our margins. This cost savings, I would say, are significant relative to the two locations and two, I would say, more than $2.5 million -- between 2.5 million and 3 million is what our estimates are.
Matthew Crawford: I hate to say it this way, but there's some business particularly as there's been through last year, no inflation in the marketplace. It's sort of abated a bit, but there's this you just got to walk away from sometimes
Marco Rodriguez: And so obviously you guys are pretty excited about the assembly components business and where you're kind of transitioning and where your investments have gone. Just kind of curious, when you look at that three year window that you mentioned before, maybe if you can kind of provide us with some color as far as your expectations of how big that business becomes for you on a whole, whether that's from a revenue standpoint, a growth rate, organic growth rate. And then with all these investments and the positioning that your products are in, can you kind of maybe give us a sense as far as where you think operating margins for that particular business might end up?
Matthew Crawford: I don't think we want to comment specifically other than to say that we believe from where the business is, it will be accretive to our overall margin performance unquestionably. So we think, both in terms of growth rate and in terms of margin performance. So, I know that doesn't tell you much, because we've been talking about it, but that clearly is what we expect from that business.
Marco Rodriguez: And then I was wondering if you could talk a little bit more about raw materials, what are you kind of seeing right now, raw material costs, what are you sort of expecting for your guidance in fiscal ’19?
Matthew Crawford: Yeah. I think the story is relatively well known at this point, particularly in the tariff space, but it was much broader than the tariff space. The robust economic activity last year combined with some of the trade issues going on, I think provided the intended consequence of seeing pricing relief, particularly to domestic suppliers, which is good and was the intended consequence. The unintended consequences, everyone else raised their price too. So if you were in Taiwan, for example, you got a free ride. So I think that what we've seen is I think that generally abates in some of the bigger commodities, I think that, but what we've seen as well importantly though is when you think about a business like supply technologies, 7000 or 8000 suppliers, 100,000 part numbers, it takes time to, I think we were particularly good at managing that process.  But sometimes, it just takes time to even catch up to what's happened, as you can get sort of cut by -- or die by 1000 cuts. And certainly no one's dying, their performances is great. But so they're doing a great job. But I'm just pointing out that this is an everyday affair. Because mid-last year, with the economic -- robust economic activity and tariff action, everybody looked for a piece of the action, by the way, including us. We're out there raising prices to where we have to or walking away from business. So I guess what I'm telling you is, it's not as extreme as it -- pressures and extreme that it was six months ago, but it's an everyday issue.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to Mr. Matthew Crawford for any closing remarks.
Ed Crawford: Okay. Hi. This is Ed Crawford. I've enjoyed listening to kind of the historical review of the quarter and the year. But I want to point at the, late ‘16, 2016, Park-Ohio rolled out a plan to be a $2 billion revenue company sometime in 2021. And based on the 2018 results, we’re -- everything would indicate that we will meet that goal. That's about the future and with meeting that goal and increasing the revenues, a lot of good things can happen, increase EBITDA, cash flow, pay down debt, more security for our employees worldwide, international growth. So it's nice to talk about the history in the past, but we are very much committed to the plan we talked about.  We're well on our way. We're adding aerospace business, we’re adding plants around the world. And we're participating and planning for the future. But we're always looking forward over here about the future. That's important. The past is great. And we're all very, very proud, especially all of our employees in the company at being part of what happened in ‘18. But this will go on, we will meet these goals and we're going to be a bigger and better company for the future.
Matthew Crawford: Thank you very much. Well, great. Thank you all for your support and we're excited about this year and we look forward to talking to you again in a couple of months. Thanks.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.